Operator: [Operator instructions] The first question is from Bob Schnell of Dougherty. Please go ahead.
Bob Schnell – Dougherty & Co.: Good morning, good afternoon, and congratulations on a very nice quarter. To start off, of the $7.1 million or so in revenue, what percentage of that would you deem to be recurring in nature?
Arie Trabelsi: Okay, generally we do not assign the mix of revenue, but we’d say that (indiscernible) 60 to 80% is recurring revenue in the quarter.
Bob Schnell – Dougherty & Co.: Okay, and from a balance sheet perspective, your receivables have grown recently. Is that all one customer, and do you expect to collect on those in Q3?
Arie Trabelsi: In general, most of the increases were due to new customers, most of the $10 million already collected during the last 45 days, and we will collect the remaining in the next month.
Bob Schnell – Dougherty & Co.: Okay, great. As it relates to the division you bought from On Track Innovations, I know there was potential for some large contracts that would necessitate an earn-out payment to OTI. What are your thoughts around that the rest of the year, and then do you expect to be making some milestone payments – I am assuming some of the big contracts you were awarded recently are partially to do with the division you bought.
Arie Trabelsi: In general we do not get into specifics about (inaudible) between us and OTI, or to any other contract that we may get from that pipeline. Once we have one of them materialize, we’ll announce it.
Bob Schnell – Dougherty & Co.: Okay, so you will announce a contract as it relates to a potential earn-out payment to OTI?
Arie Trabelsi: If it’s going to be material, yes.
Bob Schnell – Dougherty & Co.: Okay. Lastly, the mobile banking, mobile money product sounds pretty interesting. Maybe you could walk me through any interest you’ve had in that product and if you expect to generate any new revenues from that in 2014.
Arie Trabelsi: Yes. (Indiscernible).
Bob Schnell – Dougherty & Co.: Yes.
Ordan Trabelsi: Okay, so in general, the mobile money market or the mobile banking that we’re describing is—that’s providing unbanked citizens with bank accounts. As you may know, much of our focus with SuperCom is on developing economies around the world, and after we serve a country with a way to uniquely identify its citizens, we try to offer more solutions if they have to do with credit or healthcare or tracking, or now payment solutions. Since many of their citizens don’t have access to bank accounts because there’s no retail infrastructure of bank branches, mobile banking is a big solution; and the solutions that exist mostly right now throughout developing countries are ones which are done through a mobile network operator – Verizon or AT&T – and hence only the citizens that work with that provider have the ability to have a mobile bank account. This creates limitations because they can’t transfer money from one to another – for example, you can’t transfer money to your fund if he has another provider, and it’s not a robust solution which serves all the citizens. We’re deploying a new technology which allows the government to offer mobile banking to its citizens in a fashion that will work with all the phones and all the providers, and it’s a very lucrative market with much potential and we hope to be seeing significant steps towards that within the coming periods of time.
Bob Schnell – Dougherty & Co.: Great, I appreciate it. That’s all for me, thank you.
Operator: The next question is from Brian Abrams of Lazarus. Please go ahead.
Brian Abrams – Lazarus Investment Partners: Hi guys. Congratulations on another great quarter. Obviously you’ve had some pretty large contract wins so far this year, and obviously I think we’re beginning to see the impact of that this quarter. I’m wondering what’s the potential for future wins of that magnitude, and can you give us any sense for the size of the sales volume?
Arie Trabelsi: Okay, in general as we have discussed in past conference calls, we have a pipeline of (indiscernible) and this pipeline is getting deeper when the sales grow and increasing the size of the proposals there. There are some deals that are very close to being—that go to the customer who makes a decision, and we hope that we’ll get more awards in the near future. We are very optimistic in this area. Right now the rate of getting awards in this year is higher than we expected, so we are still optimistic for the remainder of the pipeline.
Brian Abrams – Lazarus Investment Partners: Okay, great. You said earlier that you’re targeting $100 million of revenues. I’m wondering if you could speak to the time frame of that, when you expect to potentially reach that milestone or that target.
Arie Trabelsi: Between one to 100 years. In general, we’re looking to reach this step in three years.
Brian Abrams – Lazarus Investment Partners: In three years – okay. Thank you. That’s it for me in questions.
Operator: If there are any additional questions, please press star, one. If you wish to cancel your request, please press star, two. Please stand by while we poll for more questions. The next question is from George Santana of Ascendiant. Please go ahead.
George Santana – Ascendiant: Hi, thanks for taking my questions. Congratulations on a great quarter. When we look a bit in your past history, there was some question about customer concentration. Can you speak to the distribution of revenues a little bit, whether that’s a less of a concern now and going forward? Thank you.
Arie Trabelsi: This year and we believe in the coming years, we do not have this customer concentration anymore. We have customers around the world, both in America, Africa, Europe, and India, so we do not see this kind of concern as we have seen in the past. We believe in the future it’s going to be even more distributed.
George Santana – Ascendiant: Thank you, guys.
Operator: The next question is from Ryan Parker of Equity Brief Capital Management. Please go ahead.
Ryan Parker – Equity Brief Capital Management: Congratulations on a great quarter, guys. I had a question – I was looking at the breakdown of the revenues, just my own personal breakdown of the revenues in Q2. Are you still sticking by recognizing the majority of the $25 million contract announced on March 27 by the end of the year?
Arie Trabelsi: As we said, there is no change in our projection here.
Ryan Parker – Equity Brief Capital Management: Okay. Did you say earlier that generally your recurring revenue is 60 to 80% of revenues?
Arie Trabelsi: Yes.
Ryan Parker – Equity Brief Capital Management: And I guess is that still the case in the current quarter?
Simona Green: Excuse me, can you repeat the question?
Ryan Parker – Equity Brief Capital Management: Is the 60 to 80% in recurring revenue, is that still the case in C2?
Arie Trabelsi: Yes.
Ryan Parker – Equity Brief Capital Management: Okay, because if you—there was the $4 million contract that was recognized in the first half of the year, and I guess if you split that between the first two quarters and then a little bit from the $25 million, I guess—I don’t know, it seems like the base would be more like $3 million.
Arie Trabelsi: We don’t want to get into this kind of (indiscernible). Generally, we can say two main guidelines. One is that 60 to 80% is recurring revenue, and the other thing that is important to say is that once we complete the contract, 20 to 30% of these contracts once they’ve ended become to be recurring revenue in the future. I think that if you take these two guidelines together with what we have done the last two quarters, you will be able to build a model for the next quarter.
Ryan Parker – Equity Brief Capital Management: Okay. There was a previous caller that asked a question about a contract that would be material to an earn-out to On Track in the near term. Can you repeat what was said on that question? I missed it.
Ordan Trabelsi: Our answer in general was that if there’s material payout according to a new contract, we would announce it.
Ryan Parker – Equity Brief Capital Management: Okay.
Ordan Trabelsi: Hope that clarifies it.
Ryan Parker – Equity Brief Capital Management: It does. Okay, that’s all from me. Thank you.
Operator: Our next question is from Debra Fiakis of Crystal Equity Research. Please go ahead.
Debra Fiakis – Crystal Equity Research: Thank you for taking my question. It’s in regard to your spending rate. I noted that there was a click up in your spending on selling and marketing, and I wondered if this was an unusual quarter or if we should anticipate a little more spending going forward in that category.
Arie Trabelsi: In general if you look, it all goes back to certain marketing (indiscernible) related to revenue, and when (indiscernible). But in general once we have a new contract, you will see us more increase in our certain markets due to some work that’s being done to secure a contract. But in general, we should not see on average on the year, (indiscernible) should be similar to what we have seen last year on the average rate.
Debra Fiakis – Crystal Equity Research: All right, thank you.
Operator: We have a follow-up question from Brian Abrams.
Brian Abrams – Lazarus Investment Partners: Yes, I wanted to follow up on the activity in the M2M or Internet of Things space. It sounds like you’ve got some exciting initiatives to share. I’m wondering at what point you expect that to begin contributing revenue.
Ordan Trabelsi: Could you repeat that? There was some noise in the channel – sorry.
Brian Abrams – Lazarus Investment Partners: Sure. I’m wondering at what point these initiatives in the M2M and IOT space will begin contributing meaningful revenue or ramping up revenue. Is that a 2014 thing, a 2015 thing, or beyond?
Arie Trabelsi: Okay. We think that we will see material revenue in the M2M mostly (indiscernible) in 2015. Some of it we have seen already, and the major increase will be in the years to come.
Brian Abrams – Lazarus Investment Partners: Great, thank you. On the M&A front, I know you mentioned that you’re actively looking at some potential acquisitions. Do these tend to be small tuck-in acquisitions, or are they potentially including larger acquisitions, perhaps similar to what you did with OTI or both, or is it optimistic? Can you give us any more color on that?
Arie Trabelsi: Okay, in general you should remember when we acquired the OTI business, their size and operations was double than our size. I think the size here is not the important thing. For us, what is important are the synergies, both in technology and geographic presence, and if we find a synergistic business in a geographic area that we do not have a strong presence and they have some lucrative contracts in the M2M or in DID, we probably would be looking to it very carefully to acquire it. But we are looking also at small businesses which we believe have complementary technology that will broaden our ability to provide a more comprehensive and complete solution to (indiscernible), so we look at both kinds of acquisitions. I would say that it’s not going to be a huge surprise if our next acquisition would be much larger than the last one.
Brian Abrams – Lazarus Investment Partners: Okay, great. Thank you very much, and again congratulations on another great quarter.
Operator: The next question is from Chuck Lipson of CSL Associates. Please go ahead.
Chuck Lipson – CSL Associates: Yes, congratulations on a great quarter. Regarding your U.S. effort, could you—obviously you’re dealing with governments primarily. What shape might the U.S. effort take, and do you see that as a big part of your sales going forward?
Ordan Trabelsi: Yes, the U.S is ramping up and it will be—expect to be a big part of our sales going forward. We actually recently brought in sales talent to help us with some of that in the U.S. The strategy is a bit different there. We have been selling our M2M components to different private institutions, over 3,500 of them over the past seven to 10 years in the U.S., but just as hardware. Now, we’ve turned into a solution provider and we’re selling a full solution, so we’ve been launching different pilots in different institutions around the U.S. and we’re also working with counties and state-level and federal-level government departments to deploy our M2M solutions and also our EAB solutions throughout the USA. That should be a part which is ramping up starting this year and more into 2015.
Chuck Lipson – CSL Associates: Those contracts would probably be somewhat smaller than dealing with the governments and the types of contracts you’ve recently announced.
Ordan Trabelsi: The initial ones will be smaller, but over time the potential in the U.S. market is just as vast as that of other markets around the world, if not larger.
Chuck Lipson – CSL Associates: Last question – given your backlog and the recurring nature of a lot of your revenue, why no guide to say for one quarter going forward, which should have pretty good visibility? You might want to consider that in the future.
Arie Trabelsi: Yeah, we may consider it, but I think in looking at that side, if we give you a guideline for revenue in 2014 and 2015, the problem, which is a good problem, that a large contract that we may be awarded may just double or triple this number. So really, we’d like to keep giving just guidance about contract recurring revenue and keep the model and estimate to you, and I believe that you can do it if you take all this information together, you can build a model. The way we took into assumptions, it’s maybe a large upside if we’d be awarded a large contract.
Chuck Lipson – CSL Associates: Thank you. Keep up the good work.
Ordan Trabelsi: Thank you, Chuck.
Operator: If there are any additional questions, please press star, one. If you wish to cancel your request, please press star, two. Please stand by while we poll for more questions. There are no further questions at this time. Before I ask Mr. Arie Trabelski to go ahead with his closing statement, I’d like to remind participants that a replay of this call will be available in three hours on SuperCom’s website, www.supercom.com. Mr. Trabelski, would you like to make your concluding statement?
Arie Trabelski: Okay, thank you. On behalf of the management of SuperCom, I would like to thank you all for joining us. Within the coming few weeks, we’ll be presenting and meeting with investors in a number of conferences in the U.S. To the rest of you, I look forward to seeing you on the next when we discuss our third quarter results in about three months time. Have a good day.
Operator: Thank you. This concludes the SuperCom Limited Second Quarter 2014 Results conference call. Thank you for your participation. You may go ahead and disconnect.